Operator: Greetings and welcome to the CVR Energy First Quarter Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded.It is now my pleasure to introduce your host, Stirling Pack, Vice President of Investor Relations for CVR Energy. Thank you sir, you may begin.
Stirling Pack: Thank you, Ryan. Good morning, everyone and welcome to our conference call, we appreciate very much your interest in CVR. With us this morning are Jack Lipinski, our Chief Executive Officer; Jim Rens, our Chief Financial Officer; and Stan Riemann, our Chief Operating Officer. The presenters will be Jack and Tim.So prior to the discussion of our 2009 first quarter results, we are required to make the following Safe Harbor statement. In accordance with federal securities laws and statements in this earnings call relating to matters that are not historical facts are forward-looking statements based on management's belief and assumptions using currently available information and expectations as of this date and are not guarantees of future performance and do involve certain risks and uncertainties, including those noted in our filings with the Securities and Exchange Commission.This presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures are included in our earnings release which we filed today.Jack, I will turn the call over to you then. Thank you.
John "Jack" Lipinski: Thank you, Stirling. Good morning, everyone. Thank you for joining us for our first quarter 2009 earnings conference call.I'll start by briefly reviewing our quarterly operating results and also provide some context for the current quarter. Tim Rens, will follow with a review of our reported financial results. I'll first begin with the petroleum business and speak specifically to our refinery operation.In the current refining environment, operating flexibility enables the company to take advantage of the ever changing market. At CVR, we strive to adjust such flexibility to take advantage of opportunities.Our first quarter petroleum segment and operating results reflect our ongoing efforts towards the same. Factors that influence these results include collection of crudes and product mix, operating rates, reducing cost while maintaining efficiency, and meeting our overall goal of doing it all safely.Crude run-rates for the first quarter averaged 106,000 to 170 barrels a day. Feedstocks and blendstocks added another 14,500 barrels a day, for a quarterly average throughput of 120,700 barrels a day. This rate was up slightly from the 119,725 barrel a day rate in the first quarter of 2008, and reflects slightly higher feedstock input. Although, we have the capacity to operate at substantially higher levels, we balanced output to meet the needs of our local market.Crude and feedstock cost averaged $37.10 in the first quarter versus $92.90 for the comparable period in 2008. Refined product sales averaged $49.82 a barrel versus $101.48 for the same period last year. Our quarterly crude cost benefited from the ongoing contango in the WTI crude market.The delivered cost of crude calculated on a FIFO basis; averaged $6.45 less than WTI. This represents about a $1 per barrel improvement over the first quarter of 2008 at which time our throughput costs were much higher.These sweet sour and heavy sour differentials now look significantly in the first quarter of 2009. And the product basis differential between the Group 3, which is PADD II Group 3 and NYMEX was negative for the entire quarter. The average product basis for the first quarter this year was a negative $1.23. For the first quarter of 2008 by comparison it was a positive $1.09 per barrel.Total refinery production for the first quarter averaged 120,640 barrels a day; of which 53% was gasoline and 38% distillate as compared to 49% and 40% for the first quarter of 2008.Year-over-year, we increased gasoline production due to the strengthening of the gasoline product. We have the ability to shift our gasoline and diesel mix by several percentage points depending on the economics.Direct operating expenses for the first quarter of 2009 were $3.62 per barrel versus $4.16 per barrel in the first quarter of 2008.With respect to the second quarter, our plan is to run about 110,000 barrels a day of crude. Feedstocks and blendstocks are expected to average between 12 and 14,000 barrels a day.We have yet to see the seasonal rise in ULSD demand for agricultural use due to the late plant in crude. But we expect demand to increase as planting currently gets underway. PADD II Group 3 has historically been short of refining capacity in the need to a historical regional demand and we generally benefit from our geographic location.The current NYMEX WTI forward curve shows contango spending out almost indefinitely. We expect this condition to turn when the world economy returns to positive growth.In the near-term, we also expect the sweet sour and heavy sour differentials to remain compressed. We'll also note that brands crude traded over WTI in the first quarter of 2009 which is historically not the case. We simply didn't purchase any brand related crudes in the quarter.We control 2.7 million barrels of crude oil storage cushion, which provides flexibility and a substantial opportunity for us to purchase attractive fleet price crudes and receive the benefits of the contango market. Due to the unique or market conditions and continued contango, we're finding that WTI remains one of the most attractive crudes for us.Our cash flow swap reduces from 5.9 million barrels a quarter to 1.5 million barrels a quarter on the last day of June this year. The slower swap level rolls off completely at the end of June 2010.This is also the first quarter we operated under a new crude oil intermediationagreement with Vitol. We continue to grow our crude gathering system volumes. They now average about 28,000 barrels a day and we now have the system capacity to do more.As I stated in our last conference call, the nitrogen fertilizer industry went through an unprecedented pricing cycle in 2008. Product realizations for nitrogen based fertilizers are down this year versus last. Persistent wet whether into Mid-Continent has limited plants. This delay have cost an overhang in products' inventories throughout the industry and has delayed buying in-time. Operationally, our fertilizer plant had an excellent first quarter, we are able to maintain a 100% on-stream time for both our gasification and ammonia synthesis unit.The UAN plant operated at a 96% of stream time metric. This accomplishment followed our successful plant turnaround in the fourth quarter of 2008.Ammonia production for the first quarter was 108,000 tons; with UAN production at 170,000 tons. Ammonia available for sale after production was 39,000 tons. Sales of ammonia were 48,000 tons while sales of UAN were at 143,000 tons during the quarter.Realized prices for ammonia were $373 per ton and realized of plant gate prices for UAN were $316 per ton. These prices reflect our standing order book and stock sales. For comparison ammonia prices for the first quarter of 2008 were $494 per ton with UAN prices of $262 per ton.Our fertilizer spring order activity has been affected by the late arrival of the spring application, a season due to late winter storms and a very wet spring. In the short-term the logistics of product shipments is rapidly becoming a defining issues for the industry.We maintain our view that the fundamentals of our fertilizer business is sound as evidenced by the number of acres forecast to cultivation and the underlying demand and prices for these brands.A late spring usually favors UAN application over ammonia application. Currently we expect to see a shortened but potentially more intense application period as soon as weather come out.As I noted, nitrogen fertilizer forward prices are down substantially year-over-year but we expect CVR second quarter realized prices to average above current industries' stock prices due to the impact of our spend in water pump.Directionally prices should trend towards spot overtime. On-stream rates for the second quarter will be slightly lower than the first quarter due to a seven-day maintenance outage at the third party or a separation plant which supplies our facility.We believe that CVR's assets are competitively positioned in our two businesses. We remain focused on operational excellence and bottom-line results. We believe increasing shareholder value, stems from establishing measurable operating expectation and then meeting them.Value is also derived from prudently reducing expenses and managing capital out way. We believe successfully executing in both these ways will allow us to achieve the strategy.With that said, Tim Rens will next review our reported financial results.Tim?
James T. Rens: Thank you, Jack. As reported CVR Energy's first quarter net income was 30.7 million or $0.36 per diluted share compared to 22.2 million or $0.26 per diluted share for the first quarter of 2008.Adjusted net income for the first quarter was 45.9 million or $0.53 per share compared to 30.4 million or $0.35 per share for the first quarter of 2008. Adjusted net income has been adjusted for the impact of share-based compensation and the unrealized loss of the cash flow swap but it is not been adjusted for the impact of FIFO accounting or to realize losses in the cash flow swap.The realized loss on the cash flow swap for the quarter was 15.7 million compared to a loss of 21.5 million for the same quarter in 2008. For the first quarter of 2009 the impact of FIFO accounting was unfavorable in the amount of $6 million compared to a favorable impact in the first quarter of 2008 of $20 million or a negative variance of $26 million over the comparable period.Consolidated operating income for the first quarter which will be discussed in more detail by segment was $91 million which included the $6 million unfavorable FIFO impact compared to 87.4 million including the $20 million favorable FIFO impact for comparable period in 2008.Starting with the petroleum segment, operating income was $64.7 million including the unfavorable FIFO impact of 6 million. For the first quarter of 2008, it was 63.6 million including a favorable FIFO impact of 20 million.Refining margins per barrel including the FIFO accounting impact were $13.36 per barrel compared to $13.77 per barrel for the first quarter of 2008. Adjusted for the impact of FIFO accounting, refining margins for the first quarter 2009 were $13.99 per barrel compared to $11.70 per barrel for the comparable period of 2008.A higher margin was primarily the result of the improvements in the crude oil discount which we were able to secure as a result of the contango that continues in the crude oil market.Refinery direct operating expenses exclusive of depreciation and amortization were $34.6 million or $3.62 per barrel of crude oil throughput for the current quarter compared to $46.3 million or $4.16 per barrel for the same period in 2008.Moving to the fertilizer segment; net sales for the quarter increased to $67.8 million compared to 62.6 million for the comparable quarter in 2008.Operating income was 29.3 million for the first quarter of 2009 compared to 26 million for the first quarter of 2008.For the first quarter of 2009, higher prices for UAN of $316 per ton versus $262 per ton for the first quarter of 2008 as well as increased ammonia sales volume from 22.1,000 tons to 39,000 tons contributed favorably due to fertilizer operating results.These benefits were partially offset by reduced fertilizer demand which resulted in lower ammonia prices of $373 per ton versus $494 per ton for the first quarter of 2008 and a reduction in UAN sales volumes from $158 per ton -- from 158,000 tons to 143,000 tons.Direct operating expenses excluding depreciation and amortization were 21.6 million for the quarter compared to 20.3 million in the first quarter of 2008. SG&A expense exclusive of depreciation and amortization for the quarter was 19.5 million including share-based compensation expense of 3.6 million compared to 13.4 million for the first quarter of 2008 which was negatively impacted by $100,000 of share-based compensation.Adjusted for share-based compensation, SG&A expense for the first quarter of 2009 was 15.9 million compared to 13.3 million for the same quarter in 2008. The change was primarily the result of increases in payroll and bank charges, the latter of which is the result of the credit facility completed in December of 2008.I'll now speak briefly regarding cash flow and current liquidity, as of March 31, 2009, net cash and cash equivalents of 28.4 million, availability under the revolver of 116.1 million and total outstanding bank debt of 483.1 million.During the quarter, we received 11.8 million in insurance proceeds related to the property claim and repaid in for J. Aron deferral in the amount of 62.4 million. As of March 31, 2009, the total insurance receivable recorded on the balance sheet was $1 million which is related to the crude oil discharge. As of April 30th, total outstanding debt under our credit facility was 481.9 million, the company had 40.4 million of cash and cash equivalents, and availability under the revolving credit facility of 116.1 million.Income tax expense for the quarter ended March 31, 2009 was $12 million or 28.1% of income before income taxes as compared to $6.8 million or 23.5% of income before income taxes for the three months ended March 31, 2008.Jack will now provide his concluding remarks.
John "Jack" Lipinski: Thank you, Tim. And I'll be brief. CVR reported the best first quarter operating income results in our history. But we can not control margins or fertilizer prices. We are focused on our operational excellence, remaining flexible, adapting to changing market conditions and doing our jobs diligently and safety.Stirling, I'll turn it now back over to you for questions.
Stirling Pack: Thank you very much gentlemen. I appreciate your presentations. Ryan we are prepared at this point to take questions from the call listeners so if you would go ahead and queue that. Thank you.
Operator: sure. (Operator Instructions). Our first question comes from the line of Jeff Dietert with Simmons & Company.
Jeff Dietert: Good morning. Jeff Dietert with Simmons.
John Lipinski: Good morning, Jeff. How are you?
Jeff Dietert: I am fine. You had a good operating quarter at the UAN plant with strong production, sales were off seasonally. Can you talk about what's your inventory of UAN and give us a feel for what those sales volumes might look like in the second quarter given your outlook?
John Lipinski: Sure. I'll turn the phone over to Stan. Stan if you'd like to?
Stanley Riemann: Yeah. Thank you, Jack. Jeff, our inventories historically year-over-year last two, three years right now on UAN it would be roughly in the 20 - 25,000 tons range. Right now we're stepping about 35,000 tons. So we've got 10,000 tons that's really not a big issue and it certainly and logistically able to move it up.Our expectations on sales, I mean have always been slogging start due to planning season. In our territory I can't speak to some of the French territory as we supplying mainly the core mid-American corn market and we expect the acres to be there and we expect the nitrogen demand to be there. And quite frankly as the season gets way to that, that bodes well for us other than ammonia or other urea application. So I expect the season to have a real tail on it and drive it out to June but when the smoke clears I really expect to be there on time.
Jeff Dietert: Thank you. I am sorry.
John Lipinski: Jeff, just a little clarity, I am sorry. We've also been moving material into other markets out of our core area just to keep products moving. Obviously, there are other areas California, West Coast, Pacific Northwest other areas that we have been moving product into that has not been impacted by the swap weather.
Jeff Dietert: What's your visibility into pricing for the second quarter; have you sold volume in advance or is it going to be priced kind of on a spot basis?
John Lipinski: Right now we're at the fill season until the inventory is somewhat empty in the field of the dealers and distributors. There is not a lot fill order activity that provides the bulk of our business. Right now most of this is spot. We're seeing numbers in area at or around $200 ton for UAN possibly a little higher as we move out little lower. Ammonia over $300 a ton, it's just not all that bad it's just nothing is moving right now.
Jeff Dietert: Very good. I appreciate your comments.
Operator: Our next question comes from the line of Vance Shaw with Credit Suisse.
Vance Shaw: Hi, guys, good morning. Great earnings report congratulations.
John Lipinski: Thank you.
Vance Shaw: Couldn't imagine the tougher industry, these are numbers in right? Couple of questions for you, can you give us some granularity on from a refining perspective how the quarter looked month-to-month. Did cracks and operating performance shouldn't get better throughout the quarter or worse? And then can you give us an idea of what April looks like?
John Lipinski: I don't have the -- that specific information. I'll do this from memory, January wasn't as good as February or March, looking at the first quarter and everybody seeing some softening in cracks this quarter. I looked at screen two and one within $9 range yesterday. Crude differentials, contango has softened some what it's still there. We had a hell of a first quarter with contango given the fact that we're able to store the function by approving and rolling.Overall, cracks are down somewhat from the higher levels in February and March. But given history on a percentage basis which you have heard me talk about numerous times, it's just not that bad it's 16, 17 as much as 20% times of crude as compared to last year when crude prices ran and you didn't see those kind of cracks on a percentage basis.
Vance Shaw: Now, the reason for that is both that inventories of finished products or sort of lower than they were and demand is little bit better, you think?
John Lipinski: Right now in our area, again I mentioned that there haven't been big run on diesel yet in the Mid-Continent because of delayed plans and season.Generally what we see is, as soon as the farmers go into the field, the diesel inventory disappears and again there -- it's not in the fields yet.But overall, gasoline cracks have made a surprising rebalance over distillate. I mean if you look back three, four, five months ago, distillate was way over gasoline, now you're funding the indoors which again, we have the ability with the way our refineries contribute to swing several percentage either ways so that's what we're doing right now.
Vance Shaw: Right, got you. Now your market area, is there a particular grain, is it corn that matters more or wheat that matters more or has that--?
John Lipinski: Well, I mean if you are talking on the petroleum side of the business; no, it doesn't matter. The track has used the same diesel.
Vance Shaw: Correct.
John Lipinski: On the fertilizer side of the business and I'll turn it back over to Stan, it's corn related obviously, the soybeans do not require nitrogen fertilizers. Stan, would you like to--?
Stanley Riemann: That's correct. We track to corn acres much more aggressively than we track anything else in our market, and our market is pretty consistent. I mean I was in Nebraska and really those corn acres just don't fluctuate that much because that's your core area. The big fluctuation is -- of the corn area.
Vance Shaw: Got you. And the way planting seasons obviously weather related thing. I am in New York City so it's hard for me to tell but--
Stanley Riemann: Yeah, it is definitely weather related and just I told this morning, just the plant and quite frankly I was in Minnesota, Nebraska just slightly below their five year average. Illinois and Indiana are dramatically behind their five year average. But with equipment to achieve the production ag, you can catch up very quickly. You get five, six, seven, eight days of planning. You will see these numbers change dramatically. So Western Cornbelt not that all bad shape, Eastern Cornbelt has got some catch up to do.
Vance Shaw: Got you. Now in terms of the balance sheet just briefly, I guess the only debt you guys really have is your bank debt. That's a pretty expensive proposition. Any thoughts on dealing with that or the timeframe which you might want to recapitalize the right side of your balance sheet or any of those things?
John Lipinski: Tim?
James Rens: I think right now with where we're at, I think the focus is on clearly, Jack has talked about looking tight at both expenses and capital expenditures and focusing on, continuing to position the balance sheet better. And one of the alternatives when -- as we see our cash balances increases, just taking a look at the debt price, there is nothing that's clear, or imminent that weakness cost but obviously as we continue to have good positive cash flow we'll take a look at opportunities to either reduce the debt balance or do something on that side of the balance sheet but nothing imminent right now that's ongoing.
Vance Shaw: Okay. Thanks very much. I appreciate it. Thank you.
Operator: (Operator Instructions). We have a follow-up question coming from the line of Jeff Dietert.
Jeff Dietert: I wanted to ask on crude feedstock if you're seeing anything different and what you anticipate with the Seaway expansion and the likely swine (ph) coming into Cushing if you see any big opportunities there?
John Lipinski: Well, obviously the more crude that comes to Cushing it gives us other opportunities obviously, cliff the Rocky Mountain crudes have been significantly discount because they were somewhat stranded. We think that may provide us an opportunity. We have even gone so far as we now way in terms of crude into the plant up to 3,000 barrels a day that are better attractive.We will; we look at anything that gives us optionality on crudes. We immediately look at, anything more into Cushing again.If we can get our hands on Rocky Mountain crudes that which fit I mean again we blend crudes. We blend anywhere from I don't know typical amount is 10 to 12 different crudes and every time we buy one, we just reset our LP and then go pick the next best one. So the more that come our way or the ability for us to get more just kind of puts us in a better position because having the crude storage in a direct line to the refinery basically put us as if we are sitting in Canada or sitting on the Gulf Coast, we get access to all.
Jeff Dietert: Could you talk about contango benefits what trade roll benefit how significant was that during the quarter and if there were other any other contango benefits that you got on the refining side?
John Lipinski: I mean I'll let Tim talk to the specifics but what hit with the ability to store crude in the contango market is simply do a month-to-month roll for the longer you hold it to achieve for the crude gas. Obviously, there were some pretty significant spikes in the first quarter in contango. If you were to track it over the course of the month as it came up to expiry the contango would blow out it still tends to do that but it's not as deep as it was. I mean we saw numbers 6- $7 at the peak. Right now we're seeing $2 change at the peak. So contango is off but it's still there. And to some degree the cracks track the contango and crude just track the contango.
Jeff Dietert: How much storage are you working with the Cushing?
John Lipinski: We have a total of 2.7 million shell barrels and then we have another approximately 1.2 to 1.3 million barrels in the refinery and in our gathering system. So we have to leave some room in Cushing obviously because we're bringing crudes in from all over and we have to blend them and ship them up to the refinery. But the -- certain portions of the inventory are carried under our intermediation agreement, other portions are carried on their own balance sheet.Our inventory levels overall are higher than they were say on December 31st of last year. What we've done is we have the ability now with this refinery to run significantly higher rates so there are times where we will actually run harder, increase our inventory of finished goods so that we can keep shipping them, and we will do maintenance, opportunistic maintenance on different units so it doesn't cost us on a run-rate basis. We're in the path if we had to bring a unit down and would cost us throughput.Now what we do is we anticipate it, as far as crude we -- I guess Tim we had 4 to 500,000 barrels on our own balance sheet?
James Rens: Incremental that's part of the opportunity of taking advantage of contango, we have kind of a basic crude inventory that is drawing about 500 to 600,000 barrels and then in addition to that right now due to that kind of contango in the market we're carrying an incremental plus or minus 400,000 barrels.
John Lipinski: So I mean if you look at the cash position of the company we could liquidate that excess inventory if need be and bring ourselves down to a level at the end of 2008 and that number would be probably today someone in a range of 700,000 barrels.
Jeff Dietert: As long as contango is paying you had to keep it?
John Lipinski: It's been on it, yes.
Jeff Dietert: Yeah. Very good. Thanks Jack and Tim.
Operator: We have a follow-up question from the line of Vance Shaw with Credit Suisse.
Vance Shaw: Hi guys I apologize I just missed what you just said there on the excess barrels that theoretically you guys could liquidate. How many barrels are you talking about?
John Lipinski: Tim, what is it today about 700,000 barrels?
James Rens: On the crude side about 400 and then we also do currently have some incremental product inventory as well. So I think in total if you get back down the count, we would consider our normalized hydrocarbon inventory across all products crude intermediates and finished product about 700,000 barrel that we could liquidate.
Vance Shaw: Okay cool thanks. And just one other follow-up, so far in 2Q I know cracks have been down and we covered the situation with diesel. But in gasoline products in your market area what's going on there are you seeing sort of better demand levels now than you were three, six, 12 months ago or no?
John Lipinski: It's still pretty soft, the product basis is still negative. And generally if you look at our group historically, as soon as the season gets underway for ag it makes everything all that much better.I mean historically our group has a positive basis to the top of, I am going do this from memory, $1.50 or $1.60 may even be more and against NYMEX on a three year average that's even significantly higher than that. Everything seems to be kind to flow right now and its seems to be all weather related.
Vance Shaw: Okay. Thank you.
Operator: As there are no further questions. I would like to turn the call back to management for any concluding remarks.
John Lipinski: Well, listen everyone. Thank you so much for joining us. I always appreciate the opportunity to talk to you. Stirling, I will turn it back to you.
Stirling Pack: Thank you, Jack. Thank you everyone for participating in the call, as they will obviously be available for any additional questions that you might have, if you give me call or clarifications or anything like that. We do appreciate you being here and appreciate the management team participating in this call this morning.Thank you again very much, we'll speak with you shortly.
John Lipinski: Thank you, everyone.
Operator: Ladies and gentlemen, this concludes today's teleconference. Thank you for your participation.